Operator: Thank you for standing by. This is the conference operator. Welcome to the Dexterra Group's Third Quarter 2025 Results Conference Call. [Operator Instructions] The conference is being recorded [Operator Instructions]. I would now like to turn the conference over to Denise Achonu, Chief Financial Officer. Please go ahead.
Denise Achonu: Thank you, Steve. Good morning, and thank you to everyone for joining the call. My name is Denise Achonu, Chief Financial Officer of Dexterra Group Inc. With me on the call today are Mark Becker, our CEO; and our Board Chair, Bill McFarland, who will provide some brief introductory comments. After a brief presentation, we will take questions with the call ending by 9:15 Eastern Time. We will be commenting on our Q3 2025 results with the assumption that you have read the Q3 earnings press release, MD&A and financial statements. The slide presentation, which supports today's comments is posted on our website, and we encourage participants to access the slides and follow along with our presentation. Before we begin, I would like to make some comments about forward-looking information. In yesterday's news release and on Slide 2 of the presentation that we have posted to our website, you will find cautionary notes in that regard. I will not cover the content of the cautionary notes in any detail. However, we do claim their protection for any forward-looking information that we might disclose on this conference call today. I will now turn it over to Bill McFarland for his introductory comments.
R. McFarland: Good morning, and thank you, Denise. Q3 was another strong quarter for Dexterra as management continues to make progress on delivering on the 2025 priorities, including strong operational execution and delivery of results and importantly, the successful closure of 2 strategic acquisitions. These 2 key investments position Dexterra to continue to grow both its business segments in line with our strategy, which includes accelerating growth in the U.S. IFM business and supporting our leading remote workforce accommodation business by making high-return investments when accretive opportunities arise. As we consistently communicated, we are also committed to delivering a return on equity of 15% to shareholders while continuing to build and scale the business over the long term. This includes paying shareholders a dividend and delivering capital appreciation over time. We believe both of the investments will help us meet those goals. With that overview, I would now like to pass it over to Mark Becker for comments on the Q3 2025 results.
Mark Becker: Great. Thank you very much, Bill, and good morning, everyone. And I guess starting off on Slide 5. As Bill talked about, we closed on our 2 strategic acquisition investments in Q3, and we've been focused on effective onboarding and realizing the benefits from both businesses. Our partnership with Pleasant Valley Corporation is progressing very well with collective efforts focused on our joint strategic objectives, including the growth of our U.S. platform. The investment in PVC enhances our facilities management capabilities, expands our operational scale and market access within the U.S. where PVC has a very strong track record of growth and profitability and a robust pipeline of opportunities. The PVC technology-enabled distributed delivery model is complementary to our largely self-perform facilities management model. And over time, we expect to leverage these combined capabilities across North America. We are deeply engaged with the leadership team at PVC and their commitment to operational excellence and client service provides a strong foundation for the future. We remain confident in the long-term growth trajectory of the business, and we're actively supporting initiatives that will accelerate U.S. growth, including investments in sales capability and technology. And with David Lambert now fully embedded as President of Dexterra USA, we are well positioned and executing with focus and discipline to scale our FM, IFM presence in the U.S. The Right Choice acquisition closed at the end of August and onboarding is progressing very well in line with our expectations and is providing an immediate lift in revenue and adjusted EBITDA. The optimization of Right Choice's camps with a total of 2,000 beds in the Montney, Duvernay in Alberta and BC with Dexterra facilities in the region is also well underway. The Right Choice fleet of high-quality underutilized equipment provides additional capacity available for redeployment across the Dexterra network in support of our new growth opportunities. We expect to complete the integration of the Right Choice business in Q1 of 2026 and to be in a position to deploy an available equipment fleet over the medium term on new growth opportunities, including potential nation building projects across mining, energy and other infrastructure as Canada reacts to new global dynamics. Turning now to our Q3 results. I'm very pleased to report that we delivered another quarter of strong financial and operating results with robust market activity levels and strong margins across the business, resulting in $35 million in adjusted EBITDA for Q3. Our operating performance in Q3 was driven primarily by continued strong occupancy levels and also the contributions from our recent acquisitions in PVC and Right Choice, which added almost $2 million in EBITDA. Our strong operating performance allowed us to continue to achieve our target return on equity of 15%. In the quarter, we also returned approximately $7 million to shareholders through a combination of our recently increased dividends and share buybacks. Market response has been quite positive with our share price continuing to improve over 30% year-to-date and over 10% since we announced the 2 investments in early August. Finally, our efforts to proactively manage costs and our supply chain initiatives have allowed us to remain resilient to the implications of cross-border trade challenges as well as providing margin enhancements in a challenging business environment. With that, I'll turn things over to Denise.
Denise Achonu: Thank you, Mark. Speaking in more detail on the business segments, starting with Support Services on Slide 6. For Q3, revenues from Support Services were $234 million, an increase of 7% from Q3 2024 and 14% over Q2 2025. Adjusted EBITDA for the quarter was $25 million compared to $20 million in Q3 2024 and $21 million in Q2 2025. The increase in revenue and profitability over last quarter is attributable to strong camp occupancy across our network, organic growth, normal seasonal forestry activity and contributions from both PVC and Right Choice. Adjusted EBITDA margin in Q3 2025 was 10.5%, an increase compared to 9.2% in Q3 2024 and 10% in Q2 2025. The Q3 adjusted EBITDA margin, excluding PVC, which has no related revenue as it is equity accounted for was 10%. The increase was a result of the factors previously mentioned, our focus on cost control and continued supply chain efficiency efforts. We expect adjusted EBITDA margins for support services to continue to exceed 9% for the remainder of 2025 and over the long term. Our pipeline of new sales opportunities remains robust in all areas of support services, including integrated facility management opportunities on both sides of the border. The recent U.S. federal government shutdown is expected to have a limited impact on our U.S. operations as our government contracts are generally classified as essential services. Moving on to asset-based services on Slide 7. Revenue from this business segment was lower in Q3 at $48 million compared to Q3 2024, primarily driven by lower access matting activity due to delays on certain oil and gas project starts by clients. We expect this activity to ramp up in Q4, returning to more normalized levels in the medium term. Revenue in Q3 increased 8% compared to Q2 due to higher equipment utilization of workforce accommodation structures and the 1-month contribution from Right Choice. Q3 2025 adjusted EBITDA was $16 million compared to $18 million in Q3 2024 and $17 million in Q2 2025. Adjusted EBITDA margin for Q3 2025 was lower at 34% compared to 35% in Q3 2024 and 38% in Q2 2025 as a result of the same factors previously mentioned, partially offset by the contribution from Right Choice. We have recently secured some medium-term [indiscernible] rental contracts, which are expected to contribute positively to an outlook of higher margins over the medium term. Adjusted EBITDA margins in this business segment are expected to fluctuate between 30% and 40%, depending on the mix of business. Similar and connected to Support Services, our growth pipeline in asset-based services business remains robust across primarily resource and infrastructure projects. Reinforced by the recent federal budget announcement, there is significant potential opportunities around Canadian nation building investments. I'll now speak about our recent acquisitions, financial position and capital markets on Slide 9. The results of the 2 acquisitions have been included in our Q3 results from their respective closing dates. The 40% interest in PVC has been reported as an equity investment and contributed $0.9 million and $0.7 million to adjusted EBITDA and net earnings, respectively, to our Support Services segment in Q3. Right Choice has been consolidated with our results since September 1 and is contributing to both the Support Services and asset-based segments of the business with a combined uplift in Q3 of $5 million and $0.9 million to revenue and adjusted EBITDA, respectively. Turning now to our financial position. Net debt at September 30, 2025, was $206 million compared to $93 million at Q2 2025, and it was $68 million at December 31, 2024. The increase was due to the investment in PVC and the acquisition of Right Choice, which added approximately $150 million to debt. We expect to pay down debt by over $20 million by the end of the year and expect our debt-to-EBITDA ratio to be under 1.7x of annualized pro forma adjusted EBITDA by year-end, which is well within our comfort zone. We are committed to maintaining a strong balance sheet over the long term. Through the recent interest rate decreases, we have seen our effective interest rate drop by over 200 basis points to 6% in Q3 compared to the same period in the prior year. We have also taken out U.S. debt for the PVC acquisition, so our equity investment is effectively hedged from a foreign exchange movement point of view and intend to enter into an interest rate collar to manage interest rates on a go-forward basis. Free cash flow for Q3 2025 was $38 million compared to $12 million for Q3 2024, driven by strong operational results and positive improvements in working capital. As previously communicated, we generate the majority of our free cash flow in the third and fourth quarters. Adjusted EBITDA conversion to free cash flow is expected to continue to exceed 50% for the 2025 fiscal year. On a normalized basis, annual cash taxes are currently running at approximately $15 million, and the majority of our 2025 tax liabilities will not be payable until early 2026, which results in 2 years of tax payments in 2026. We remain focused on optimizing working capital, primarily through actively working with our clients for prompt payment of receivables. Year-to-date, we have repurchased approximately 1.5 million common shares for total consideration of $12 million under the terms of the NCIB. We plan to remain opportunistic with share buybacks as we still believe our shares are undervalued. Dexterra also declared a dividend for Q4 2025 of $0.10 per share for shareholders of record at December 31, 2025, to be paid on January 15, 2026. I will now turn it back to Mark for closing comments.
Mark Becker: Great. Thanks very much, Denise. And summing things up with our outlook and priorities going forward on Slide 11. First priority is continuing to build on our positive momentum on delivering predictable and consistent results, steady organic growth and realizing the full benefit from our acquisition investments. Secondly, our partnership with PVC is off to a very strong start, and we are working together towards our shared strategic goals, including IFM centered growth and building out the Dexterra U.S.-based platform. Integration of Right Choice in our existing operations and deployment of camp equipment towards new growth opportunities is also a priority. From an outlook perspective, we continue to closely monitor trade implications and economic conditions in light of ongoing market uncertainties. Dexterra is naturally insulated from the direct impact of trade tariffs as our labor and a large majority of our supply commodities are domestically sourced. We are, however, continuing to proactively make adjustments to our supply channels, including optimizing and expanding our volume discounts and vendor rebates and are hedging our foreign exchange and interest rates, as Denise discussed. We continue to monitor economic and industry indicators and are staying closely connected to our clients. At this time, we're not seeing indications of changes to industry activity levels or client plans for the balance of 2025 and 2026. We have a healthy pipeline of new sales opportunities in all areas of our business, particularly with our recent acquisitions. As Denise mentioned, the potential around nation building project, investments is significant across all our businesses, including Dexterra having a well-established platform of defense and government facilities management capabilities, including IFM, that's well suited to the potential for defense expansion and investments. Our capital allocation priorities moving forward are really unchanged over the medium term. Number one is maintaining the newly increased dividend; secondly, supporting sustaining and selective high-return capital investments; three, accretive acquisitions while maintaining our strong balance sheet; and four, remaining opportunistic on share buybacks under the NCIB. We are excited and confident on our path forward with our expanded business platform. Our overarching strategic focus remains the delivery of consistent and predictable results, profitable growth and a return on equity for shareholders of 15%. This concludes our prepared remarks. I'll turn the call back to Steve for the Q&A portion of the call.
Operator: [Operator Instructions] First question comes from Frederic Bastien with Raymond James.
Frederic Bastien: I know it's early days, but do you have plans in motion to relocate some of Right Choice's underutilized assets to areas where you're seeing strong demand or maybe are short on assets?
Mark Becker: Yes. I mean that's definitely not only kind of the Right Choice plan, but it's kind of how we manage our workforce accommodations business kind of Canada-wide coast to coast to coast, as you know. And I think we're proactively relocating. We tend to kind of land the contracts and then relocate the equipment to support the contracts is typically how we do that. And we expect that kind of protocol to continue. There's really not a lot of utility, I guess, I could say it that way in relocating equipment in advance. It's really as you land the contracts, as you land the new projects, relocated on the basis of the new work.
Frederic Bastien: Okay. That's helpful. My second question, your results are very strong despite the delayed project starts on the ABS side. Are you able to quantify the impact that this had on results?
Mark Becker: Yes. I mean the way I would quantify it, we have been running access matting at 90% utilization. Q3 closer to 80%. We're already seeing things pick up here in Q4. So I think just from an outlook perspective, I think Q4 will look more of a normal profile in terms of what our overall outlook for the year would have been and kind of back to more normal utilizations, including things like seasonality profile that we see between the quarters and in Q4. And of course, we've got the addition of PVC as well as Right Choice on top of there. So I think a return to a more normal Q4 is kind of what we're seeing.
Operator: The next question comes from Zachary Evershed with National Bank Capital Markets.
Zachary Evershed: So in the remote business, obviously, early days for Nation Building, we just got the budget yesterday. But can you give us some more granular details on sequential growth trends in the various verticals, infrastructure resource and no benefit to relocating the assets prior to winning contracts. But can you give us an update on how those bids are going to fill the underutilized beds from Right Choice?
Mark Becker: Yes. Happy to do that, Zach. I just say generally, a lot of opportunity. And I have to say a lot of some of the early opportunities that we're seeing are notionally things that we have seen already like the existing projects, and I think everyone in the business kind of understands that. But it does kind of run the gamut of the business segments. So we're seeing everything from energy base and oil and gas-based opportunities, pipeline opportunities, mining opportunities as well as infrastructure opportunities. If anything, I could say things have picked up, I guess, in terms of pace of activity around contracting is what I would say. And -- but the only thing I would say might be a little bit different, Zach, would be we're really seeing a rejuvenation of defense-related infrastructure projects, things that we've seen before, but maybe expanded and certainly brought back to the forefront. So that is very active for us on the pipeline as well. So I really just characterize it Zach as we're seeing it all around and kind of across the board in our verticals. We're pretty excited about the opportunities, and it's really going to be a matter of when these projects really come to fruition and land and our opportunity and timing around that.
Zachary Evershed: Great color. Question two, your outlook for Support Services specifically mentioned over 9% for the rest of 2025 and prior statements were to exceed 9% over the long term. Would you say that the prior guidance still stands? Or are you just clarifying the level for Q4?
Denise Achonu: Zach, I would say our prior guidance stands over 9% is really what we're expecting. What I would say, though, is that can fluctuate based on occupancy. So in Q3, we had strong occupancy and that takes us over to that 10% range. And so again, based on where occupancy ends, we could end up on the higher end of that range. But our guidance remains unchanged related to the support services margin.
Operator: [Operator Instructions] The next question comes from Carol Bobie with Scotiabank.
Carol Adu-Bobie: This is Carol on behalf of Jonathan Goldman. I wanted to ask you, how should we think about the sustainability of the support services margin? Just following up on the previous long-term target, you were able to execute on 10.5% this quarter. Could you elaborate on that?
Denise Achonu: Sure. Thanks, Carol. It really is driven by a couple of things. Within that Support Services group, we've got our IFM margins, which are typically kind of in the 8% to 10% range. We've got work on our remote services, which is typically in the 10% to 12% range. Let's say, custodial above 6% plus. And those are our target margins that we aim for. And that all blends out to, again, that kind of above 9%, which is our current outlook. Again, it varies -- can vary based on mix of business and occupancy. And so in Q3, we had really strong occupancy across our camp business. And as a result, we hit that 10%. So again, I would say we're very comfortable saying above 9%. But again, it's driven by business mix and occupancy.
Carol Adu-Bobie: Okay. And could you also elaborate on some of the drivers of the year-to-year decline in ABS margins? It looks like the Right Choice margins were actually similar to your legacy business. But at the time of the acquisition, it seems like they were significantly higher.
Denise Achonu: Yes. So for the Right Choice business, we are expecting margins to be very much similar to our current profile. Obviously, it's contributing both to our Support Services and asset-based segment. And what we're seeing our margins kind of within what our normal targets would be. So ABS between 30% and 40% and then support services in that remote space, 10% to 12%. In terms of where they've landed for the quarter, very much in line with our expectations as it relates to the Right Choice.
Mark Becker: But I think on ABS, Carol, as well, I think we're pretty clear in our feedback in Q3. I mean it's really around matting utilization, as I talked about on Fred's question. And we do see that 30% to 40% range of margin within ABS. And when utilization is high on matting, which is high-margin work, it tends to be towards the top end when it goes back towards 80%, which is still a pretty good utilization, but you can back it off a bit. So I think that's where you're seeing the fluctuation around ABS. I would say we're still seeing lots of opportunity around ABS. We've seen the activity pick up in Q4, as I mentioned. And we still see things in that 30% to 40% range. But on high activity, it tends to be towards the higher end of the range.
Operator: The next question comes from Trevor Reynolds with Acumen Capital.
Trevor Reynolds: Just you guys mentioned some new medium-term contracts, I think, for the asset-based services side of things. I was wondering if you guys can kind of provide an update on what your utilization level is on your camp assets right now?
Mark Becker: Yes. Good question, Trevor. And I would say it this way on kind of the non-Right Choice equipment, we're still in that over 90% range. I think as we communicated, the Right Choice asset utilization was a little more in that 50% range at acquisition time. The optimization though around open camps, for example, in the Montney, Duvernay between the Right Choice camps and our camps is well underway now, where we are consolidating opportunities between camps that are in the same region and the same clients in a lot of situations, freeing up those assets then to redeploy. And what you'll see from us going forward because we're really optimizing everything, you're going to see things blend together where, for example, we are closing some Horizon North or some Dexterra camps keeping some Right Choice open and redeploying different equipment. It's going to be more of a blend. And you'll see us report those utilizations, but you'll see that ramp up over the medium term as we deploy our inventory to new opportunities. But obviously, it's going to be in the top half of the 50% to 90% range as we redeploy that equipment on new opportunities.
Trevor Reynolds: Okay. Great. And then just maybe on the PVC side of things, maybe just how that integration is going and what the time frame to kind of rolling out that PVC Connect across the company and scaling that up. Maybe any update you can provide on that?
Mark Becker: Yes, for sure. So the integration and the onboarding is going really, really well. And it's a joint venture at this point in time, and we're working very closely together, as I mentioned, with PVC. I would say this dates back into CMI as well as PVC. It's all about building that U.S. platform for us and opening up the robust opportunity pipeline, which we've seen. And as you mentioned, kind of back drafting the distributed model with our self-perform model, both in Canada and the U.S. and across North America. I think one of the early focus areas with PVC and no different than we did with CMI starting last year is really getting that -- those opportunity pipeline going for new opportunities. We're seeing lots of opportunities. We want to land some new work, want to generate a bit of growth momentum with that business. And then definitely, we are investing, as we talked about in PVC Connect, which is the distributed technology model, and that work is well underway as well. So between this year and into next year, we'll be investing in PVC Connect. And then to your point, looking at how we can then backdraft that into Canadian opportunities and Dexterra opportunities. The only other thing I would say, Trevor, really investing in our U.S. sales team is an important piece. And obviously, we've got David Lambert on board now. We've got another senior executive leader that's working directly with PVC, but also bring on a new sales leader. We've got sales individuals. We're really bringing that team together under that whole U.S. umbrella because it's going to be really important to make sure we get full value from these acquisitions that we have a strong sales team, strong business development that can bring kind of the joint Dexterra PVC capabilities to bear and really, as I said, bring on new work and really get us some growth momentum going.
Operator: The next question comes from Sean Jack with Raymond James Limited.
Sean Jack: Just wondering, outside of the IFM, wondering what the effect of this building -- nation building sentiment is doing to pricing right now?
Mark Becker: Yes. Good question. Like we certainly, Sean, haven't seen a ton of inflation at this point. And as we talked about, we're pretty insulated and we've done a lot of things around supply chain. But I guess around nation building specifically, I mean we all know the more frothy the opportunity set is, it tends to drive pricing up, and we'll keep our eyes on that. Again, we got to see these projects really come to bear. There's a lot of contracting activity, a lot of discussions going on around projects, as I mentioned, a lot of projects getting pulled ahead. I think, Sean, it remains to be seen what impact on pricing around things like turnkey camps and camp rates that, that will drive and margins as well more broadly. I think it's just going to be around the pace of nation building projects, how quickly they come on, where they are and what sector they're in. But generally speaking, if we do see or as we see, I guess, nation building projects come on, you can expect that it would tend to have an uplift towards pricing is what I would say.
Sean Jack: All right. Perfect. That's helpful. And then I just wanted to circle back. There's been some comments on the opportunities coming up, specifically from resource and from mining. Just wondering how Dexterra is positioning itself to win Canadian defense contracts that to be coming up soon. There's been a lot of talk about that around the budget as well. So just any thoughts on that would be great.
Mark Becker: Sorry, can you repeat that, Sean? I didn't quite catch that.
Sean Jack: So just wondering how Dexterra is positioning itself to win a lot of this work that's coming up with -- from the Canadian defense sector that are expected to be coming up soon. Is there a specific plan to kind of position itself there? Or any color would be great.
Mark Becker: Yes, for sure. I mean we've got history definitely in Canada around both defense. I mean, we're at a number of Canadian forces spaces across Canada in the FM, IFM space. So we've been a player in that for long beyond that I've been involved with the company as well as federal government infrastructure around the FM, IFM space. So we're kind of a well-established player, and I would say, a known player. And as I mentioned earlier, some of these projects we're hearing about, we've heard about before. There's things that around runway expansions on remote basis, base expansions, remote locations. We've heard about them before. We're connected. We're familiar with the supply chain protocols around defense and government in Canada. So I'd say, Sean, we're really well plugged into that and also indigenous relationships matter and one of these locations, we're pretty well connected with existing business and potential new business. So I feel like our exposure and our visibility around this and our candidacy around this is pretty positive is what I would say.
Operator: As there are no further questions, this concludes the question and answer session.